Operator: Good morning, and welcome to the AZZ Incorporated Fourth Quarter and Fiscal Year 2013 Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Joe Dorame of Lytham Partners. Please go ahead, sir.
Joe Dorame: Thank you, Denise. Good morning, and thank you for joining us today to review the financial results for AZZ incorporated for the fourth quarter and the fiscal year 2013 ended February 28, 2013. As Denise indicated, my name is Joe Dorame. I'm with Lytham Partners, and we are the Investor Relations consulting firm for AZZ incorporated. With us today on the call representing the company are: Mr. David Dingus, President and Chief Executive Officer; Mr. Dana Perry, Chief Financial Officer; Mr. Ashok Kolady, Senior Vice President and Chief Operating Officer of Electrical and Industrial Products; and Mr. Tim Pendley, Senior Vice President and Chief Operating Officer of Galvanizing Services. At the conclusion of today's prepared remarks, we will open the call for a question and answer session. Before we begin, I would like to remind everyone that this conference call includes statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed from time to time in documents filed by the company with the SEC. Those risks and uncertainties include, but are not limited to: Changes in customer demand and response to products and services offered by the company, including demand by the electrical power generation markets, electrical transmission and distribution markets, the industrial markets and the hot-dip galvanizing markets; prices and raw material costs, including zinc and natural gas, which are used in the hot-dip galvanizing process; changes in the economic conditions of the various markets the company serves, foreign and domestic; customer request delays of shipments; acquisition opportunities; currency exchange rates; adequate financing; and availability of experienced management employees to implement the company's growth strategies. The company can give no assurance that such forward-looking statements will prove to be correct. AZZ assumes no obligation to update any forward-looking statements whether as a result of new information, future events, or otherwise. With that having been said, I'd like to turn the call over to Mr. David Dingus, President and Chief Executive Officer of AZZ. David?
David H. Dingus: Thank you, Joe, and thanks to each of you for taking the time to join us for the conference call for our fourth quarter of fiscal 2013 and for the full fiscal year, which ended on February 28 of 2013. As I indicated in the press release, we are extremely proud of our accomplishments for fiscal 2013, both strategically and operationally. For 2013, we reflected record-setting operating performance. We took organic actions to further position us for growth, and we were able to successfully identify and close on acquisitions that are an integral part of our stated strategies for both segments. The strength of our balance sheet, combined with strong cash flows, allowed us to implement the organic and acquisition growth opportunities during fiscal '13, and we believe this will continue to do so as we move forward into fiscal '14 and beyond. Now due to a scheduling conflict, I am not able to join the team in person in Fort Worth for today's conference call, but I will be monitoring the call by telephone. In view of this conflict, we are going to modify the format for today's presentation of our fiscal 2013 accomplishments and our outlook for 2014. Dana Perry will be presenting the prepared remarks, as well as conducting the Q&A session. Joining him for the conference call for the question and answer session will be Ashok Kolady, Senior Vice President and Chief Operating Officer for the Electrical and Industrial Products segment. Ashok is also the Officer in Charge of the assimilation of Aquilex into AZZ and will be able to add his comments as it relates to their operations and the assimilation process. Aquilex results will be reported as part of the E&I segment going forward. Also joining Dana will be Tim Pendley, Senior Vice President and Chief Operating Officer of the Galvanizing Services segment. Tim has done an outstanding job of leading our unprecedented organic growth of this segment, as well as outstanding leadership in the assimilation of our new Canadian operation. At this time, I'd like to turn it over to Dana for the presentation of the prepared remarks and the conducting of the Q&A session. Dana?
Dana L. Perry: Thank you, David. And again, I would also like to thank each of you for joining us on our conference call today. On an operational basis for fiscal 2013, we recognize revenues of $570 million, earnings per share of $2.37 and our backlog increased to $222 million. This reflects a year-over-year improvement of 22% increase in revenues, 47% increase in EPS and an increase in backlog of 60%. Margins in our Electrical and Galvanizing segments were 15% and 26%, respectively, for fiscal 2013. Strong operational performance and a market of continued regulatory and economic uncertainties. The nonrecurring items included in the current fiscal year were significant for us. We continue to recognize gains and losses related to the fire of our Joliet facility, the consolidation of one of our West Virginia galvanizing facilities with the facility in Ohio and significant expenditures associated with our acquisition activities throughout the year. Fiscal 2014 will see a continuation of business interruption and rebuilding of the Joliet facility. Additionally, we will be recognizing some $6 million in one-time cost associated with the acquisition of Aquilex in our first quarter. Compared to the prior year, quotation levels reflect only very modest improvements. While the book-to-ship ratio improved one-to-one toward the end of our fiscal year, we continue to see a slow release of orders, consistent with slow pace of the economic recovery and the uncertain regulatory environments. This has and may continue to impact our backlog. We achieved a book-to-ship ratio for the fourth quarter of 104%. In our opinion, fiscal 2013 was a very successful strategic growth accomplishment year for us, with the initial implementation of our stated Canadian galvanizing growth strategy with 3 strong acquisitions and the accomplishment of the Electrical/Industrial Products segment acquisition that met our stated strategy of participation and continuing revenue cycles, particularly in the power generation market, are major milestones for the company. This, combined with strategic organic growth initiatives, continues to expand the company's growth opportunities. We're extremely pleased that we were able to reach an agreement to acquire another electrical company effective April 1, 2013. We acquired Aquilex Specialty Repair and Overhaul, a global leader in the maintenance, repair and revitalization services to the nuclear and fossil fuel power generation markets, as well as refining in industrial markets. Aquilex's proprietary processes and highly engineered technical solutions provide unique life extension opportunities for critical plant infrastructure using proprietary automated equipment and specialized workforces. Their existing operating measurements will remain with the company, and the results are anticipated to be accretive from the date of the acquisition. In our Electrical/Industrial Products segment, we continue to experience a slowdown in the domestic fossil fuel power generation opportunities. And internationally, especially in the Middle East, the construction of power plants remain robust and we see strong demand for the products -- for our products. We expect the domestic fossil fuel generation market to be skewed further in the direction of natural gas for the construction and expect quotation activity to remain slow domestically in the near term. NLI continues to see strong demand for their products and services in the nuclear power generation market. Demand for our domestic substation market is stable. Utility spending has not picked up significantly, and we expect that market to be at the current levels going forward in the year in the near term. Over the long term, we continue to be optimistic regarding the opportunities associated with the upgrade of the domestic distribution substation networks. High voltage transmission market is seeing activity pickup internationally, particularly in Asia. Competition is intense from European and Asian vendors, and we hope to close projects despite pricing pressure in these markets. Industrial markets are showing revival, especially in the pipeline and mining segments, increasing domestic oil and gas exploration, and production is driving demand for our products and we expect this segment to remain strong in the near term. International mining opportunities remain strong as well. In summary, our electrical products and services are extremely well positioned to continue to benefit from market improvements and pricing levels. For the Galvanizing Services segment, growth of our OEM and industrial business remains encouraging. We should see an improvement in our petrochemical work throughout the coming year and look forward to the Joliet plant coming back online now that we are in the construction mode of that facility. The consolidation of our Wheeling and Canton facilities will improve our customer services and margins for these operations in the coming year. While the electrical utility market remains strong, our solar and transmissions businesses are beginning to level off. Strength of these markets that we participate in has more than offset the impact of the low GDP growth. We continue to discriminate -- to demonstrate our commitment to quality and service and take advantage of all opportunities to maximize the volume of the market share while maintaining pricing. The completion of another successful year, the financial strength of the company and a great group of employees is reflected in our record-setting year of operating results and confidence in our future. To accommodate the acquisition of Aquilex, we structured a new banking syndication with Bank of America remaining our lead bank and 3 other banks. Our banking facility is now made up of $75 million term loan and a $225 million revolving line of credit. Based on the evaluation of information currently available, we are revising our previously issued guidance for fiscal 2014 for revenues to be in the range of $825 million to $900 million, and for EPS to be within the range of $2.65 to $2.95 per diluted share. Our previously issued guidance was for revenues to be in the range of $625 million to $660 million and that fully diluted earnings per share will be in the range of $2.50 to $2.75 per share. Our revised guidance does reflect 11 months of the acquisition of Aquilex, and the accretion reflects the write-off of some $6 million as one-time transaction cost associated with this acquisition. Aquilex business and revenue recognition is more cyclical than our traditional Electrical/Industrial Products segment of our company. We anticipate that we will go forward -- that as we go forward, that the fourth quarter will continue to reflect our lowest quarterly performance, and this is applicable to both segments of our business. The first and second quarters should show some momentum-building for our revenue recognition, while our strongest operating performance being our third quarter. We will continue to comment on this trend with each quarterly conference call as we go forward. Achievements of these projections would be our 27th consecutive year of profitability and will be -- and will be a record-setting in terms of revenues and earnings. Our estimates assume that we will not have any appreciable change in our current market conditions, competitive activity, including pricing or significant delays and delay our timing in the receipt of orders of our Electrical/Industrial Products and demand for our Galvanizing Services. The strength again -- again, the strength of our balance sheet, the confidence of our management team and strong customer acceptance of our products and services gives us the confidence to aggressively pursue additions to our products and markets. Again, thank you for participation today in our conference call, and we'd like to, at this time, open up to questions and answers.
Operator: [Operator Instructions] Our first question will come from John Franzreb of Sidoti.
John Franzreb - Sidoti & Company, LLC: Actually, I'd like to go back to the weakness that you experienced in the fourth quarter. You cited a delay in a project and across-the-board weakness in galvanizing. And so the latter part I want to focus on. Are you still experiencing some of that weakness in galvanizing or is it bounced back to, say, third quarter levels? Can you kind of give us an update on how that galvanizing business is today versus 6 months ago?
Dana L. Perry: Sure, John. I think we're seeing that bounce back somewhat from the third -- in the fourth quarter from the third quarter. Tim, would you mind giving a little bit more color on that, what you're seeing going forward?
Timothy E. Pendley: Certainly. What we're seeing is the typical seasonality occurring, especially in the Canadian markets, so weak fourth quarter. So winter, it starts slowing down and spring kicks in, we'll definitely see a rebound in construction, especially the highway construction market. It will continue to get stronger and building towards the third. Typical, a very strong third quarter.
John Franzreb - Sidoti & Company, LLC: Okay. And why the decision to consolidate Wheeling and Canton now?
Timothy E. Pendley: It basically provides better customer service and economy of scale for us in that market area. There was a lot of overlap in those 2 areas. And now we're able to, say, consolidate our efforts and provide much better customer service and getting the economy of scale.
John Franzreb - Sidoti & Company, LLC: And what will we be doing with the Wheeling facility?
Timothy E. Pendley: We've reallocated all of that equipment across the company.
John Franzreb - Sidoti & Company, LLC: Okay. One last question. When you are thinking about the legacy E&I business, Dana, I know you mentioned that utility market has not picked up lately. What's your sense of when that business turns around? Give us kind of an update on the legacy AZZ.
Dana L. Perry: Sure. I'm going to let Ashok take a shot at that one.
Ashok E. Kolady: This is Ashok Kolady. For the legacy, I am assuming you are referring to be pre-NLI AZZ electrical products. We have a relatively flat year from fiscal 2012 to 2013. We expect the utility side, especially domestic, to remain flat from what we have seen in '13 going to '14.
John Franzreb - Sidoti & Company, LLC: Any sense when that business is going to bounce back? It seems like it's still below previous peaks by a considerable amount.
Ashok E. Kolady: The power generation side, domestically, is where the weakness that we see is, especially in the fossil fuel side. As you know, we are not seeing as much as we used to see in new power plant construction. That is the light on the T&D side. It is staying stable in our view.
Operator: Our next question will come from Schon Williams of BB&T Capital Markets.
Christopher Schon Williams - BB&T Capital Markets, Research Division: I just wanted to focus on galvanizing here. Can you talk about what acquisitions contributed in the quarter?
Dana L. Perry: Well, we know we did 3 acquisitions last year. In January, we had a Galvan. And I believe, June, we did Galvcast. And then wound up doing G3 at the end of January or 1st of January this fiscal year. On a combined basis, they contributed about $6.1 million in revenues and $600,000 in operating income for the period of time we had them on board.
Christopher Schon Williams - BB&T Capital Markets, Research Division: And then I wanted to talk about, I mean, the margin, even if we kind of strip out some of the one-time items. You talked about kind of a pro forma margin of around 25%. That's still 100 basis points below where you were last year and 200 basis points below where you've been running earlier this fiscal year. I just wondered, can you talk about was the big delta in the quarter? Was it simply from a volume standpoint that the softness or were there other contributing factors?
Dana L. Perry: You're exactly right. Predominantly, there was a softness in our markets due to the weather delays, holidays, all those types of things, a little hangover in that December, January timeframe. A little more seasonality associated with our Canadian operations and so forth that we'll continue to experience with weather delays and that type of thing. But as Tim indicated, we were definitely beginning to see some positive improvements with those volumes across-the-board. And ramping up going forward, and we're confident with our guidance for the year our margins rebounding.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Are you still comfortable talking about galvanizing margins being in that kind of 26%, 27% range?
Dana L. Perry: That's correct.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. And then just to switch gears a little bit. The delays that you talked about heading into the quarter on the E&IP side. Where do we sit now with some of the project delays there? Is there -- should we expect some of that to start to come in the door in fiscal Q1 or fiscal Q2?
Ashok E. Kolady: This is Ashok Kolady. We have some projects move out of the fourth quarter as we announced earlier, and we expect to pick all those back up during the middle of the year. Some of them -- most of them will be during the second quarter of the year.
Christopher Schon Williams - BB&T Capital Markets, Research Division: You're saying second quarter of this fiscal year?
Ashok E. Kolady: This fiscal year.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Yes, I got it. But nothing -- we should not expect anything large ahead in fiscal Q1?
Ashok E. Kolady: Well, fiscal Q1 is right on projections. And the projects that moved out, primarily the last thing out is nuclear projects. It's the delays associated with that. So those are moved out about 6 months. So we'll see most of those projects in the second quarter.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. All right. And then, NLI just in general, are you comfortable still talking about NLI being a $75 million to $80 million run rate annually on sales? I mean, it seems like, obviously, you've had this project kind of skewed out further than you originally expected. But I mean, is that still a business that we should think about on a normalized basis being kind of in a $75 million to $80 million of revenues?
Dana L. Perry: I think that's still correct. And again, we're going to see some seasonality in these guys, as well as acrylics, due to their businesses operating around the outages of the industries they participate in. On the nuclear business during the peak periods, they want those things running during a -- petrochemical plant, during peak periods, they want those things continuously running. And then when they have slow periods, that's when our operations are able to get in and actually get their work done and perform what they do best. And then that's when you start seeing a little more cyclicality in our businesses.
Operator: Our next question will come from Brent Thielman of D.A. Davidson.
Taryn Kuida - D.A. Davidson & Co., Research Division: This is Taryn Kuida filling in for Brent today. I was just wondering, I guess maybe this is more for Ashok, if you can expand on some opportunities you're seeing with acrylics and any synergies with your existing businesses in E&I?
Ashok E. Kolady: Of course. This is Ashok Kolady. The end markets for acrylics is very similar to ours. As Dana announced earlier, they are 1/3 serving in nuclear market, another 1/3 in the fossil market and 1/3 in the petrochemical market, which is very similar to our projection for the electrical group. The target market for NLI and the nuclear side of Aquilex is identical. And in effect, we are -- we know the same customers with a much more broader portfolio of products and services.
Taryn Kuida - D.A. Davidson & Co., Research Division: Okay. And just a housekeeping question, where do you guys see G&A going forward in acquisitions?
Dana L. Perry: It will be in that $45 million range. $45 million to $48 million, I'd say.
Operator: Our next question will come from Noelle Dilts of Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: My first question is on galvanizing. You've cited the flow or kind of a moderation, I think, in your transmission and your solar business. So I just wanted a little bit more detail there. Are you seeing just more of a flattening, or are you actually seeing a slowdown? And if you could talk there about what the drivers have been on that slowdown?
Dana L. Perry: No, I don't think we're seeing a slowdown as more of a flattening. You don't see as many large [indiscernible] on the solar side out there coming about. There are more -- that's more of a material market right now and we should see it pretty stable for the balance of the year. Tim, do you want to comment any -- on the future of what you think is -- you're seeing still?
Timothy E. Pendley: Yes, I concur with that. What we're seeing is the big major fields, the big push from the 2020 initiatives are starting to play out. And coming back into the pipeline though, are the smaller projects more around the 25- to 50-megawatt type fields as opposed to the very large 7,500 -- 750-megawatt field. So what we're saying, that peak has risen and now we're just riding the top of that peak. We're more plateaued and anticipate that rolling forward certainly throughout the balance of this year.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And how about on more of just the transmission towers and things like on the transmission market outside of Fuller [ph]?
Timothy E. Pendley: Transmission market, what you're seeing there is the same thing. Basically, that market, the fabrication market on the transmission side has reached saturation. They're pumping out all poles [ph] that they can push out at this point. And we're not seeing any new players move into the market to increase that capacity. So once again, we're at the top of that plateau, flattened off and moving forward. That market also should remain strong for us for quite some time.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then you mentioned that petrochem is getting stronger. Can you comment on if you're seeing that strength yet or if you're kind of anticipating it over the next year or so?
Timothy E. Pendley: We're starting to see signs of the smaller rebuild type projects coming on the books and actually come into fruition. And then we're now beginning to see large expansion projects beginning to be put out for bid. Still some time away, but I believe we'll start seeing that impact throughout the third quarter.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And just one additional housekeeping question more for Dana, I think, but could you just remind us what your Joliet losses are embedded for 2014 that you've assumed in your guidance?
Dana L. Perry: Yes, that's going to be running, gosh, $1 million a quarter, and we should be back online in that -- right now, August, September timeframe is our guidelines to be back online. And of course, the [indiscernible] while -- still time to ramp back up.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And if I can, I'll just squeeze in one last question. But in terms of your -- the increase in your guidance, can you discuss if there's -- if this is -- if it entirely reflects the Aquilex acquisition or is there also some change in your kind base expectations for the business?
Dana L. Perry: Our base expectations were, I believe, $625 million to $660 million. Our guidance reflects predominantly over -- our initial guidance [indiscernible].
Operator: Our next question will come from a follow-up from Schon Williams of BB&T Capital Markets.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Yes, just wanted to follow up on the galvanizing on what you're seeing on some of the input costs there. I mean, we saw zinc kind of spike up and then fall back there in the quarter. And then we've actually seen natural gas start to run here recently. Can you just talk about your thoughts on input cost and whether you can hold the line in terms of pricing in that business?
Dana L. Perry: Right. So far, we've been very successful in holding the line on matching our cost with zinc with our cost to our customers. Zinc is pretty stable in that $0.95 range right now. We're comfortable with our ability to continue to push our pricing to manage that in the year coming.
Christopher Schon Williams - BB&T Capital Markets, Research Division: And what about on the natural gas side? I mean, do you -- there are 4 contracts in place for that or are you buying on the market?
Dana L. Perry: Most of that is on E&IP [ph] market. We do have some contracts with our utilities, specific utilities and sales. And that's about 8%, 8.5% of our overall cost. So we won't see that near as dramatic swings in our cost structures we do on the zinc side. Zinc is about 1/3 of our overall cost structure.
Operator: Our next question will come from Jon Braatz of Kansas City Capital.
Jonathan P. Braatz - Kansas City Capital Associates: This is, I guess, more of a question for Tim. Tim, could you discuss a little bit about the ramp up of the Joliet facility? I assume it will be your biggest facility again. But how quickly do we get it back to where it once was? And with the rebuild, will it be more -- can it be more profitable than it once was?
Timothy E. Pendley: We're definitely going to be, with any new facility, have some opportunities to streamline operations, and we'll take advantage of those. As far as ramping up, you should be -- in the galvanizing operation, typically, a very quick ramp-up to full capacity. So we look at a very short timeline getting that operation back up and running in towards the September timeframe. And then, about 1 month or 2, we should be back to what we consider normal volumes at that time.
Jonathan P. Braatz - Kansas City Capital Associates: And a lot of that normal volume will be coming from other facilities that you move production to?
Timothy E. Pendley: Some of it, yes.
Jonathan P. Braatz - Kansas City Capital Associates: Okay. How much of it, let's say the net impact, do you think it might be in terms of volume, net new impact, if you want to call it that?
Timothy E. Pendley: I really have to go back and pull those numbers. On the top of my head, I wouldn't want to just spout something out.
Jonathan P. Braatz - Kansas City Capital Associates: Okay. Okay. Dana, can you -- I don't know if you are willing to do this, but obviously, the fossil fuel business is weak for your E&I segment. But how important is that? Is there a number you can give us in terms of sort of a percentage of revenue that that market accounts for?
Dana L. Perry: No, we don't break that out to that level of this juncture.
Jonathan P. Braatz - Kansas City Capital Associates: Is it your biggest market?
Dana L. Perry: No, it's not our biggest market at this time.
Jonathan P. Braatz - Kansas City Capital Associates: Okay. Okay, all right. And just a point of clarification. The $6 million in one-time cost will be reflected in the -- entirely in the first quarter?
Dana L. Perry: That will be in our first quarter. Again, that's investment banking fees, legal fees, all those types of things we have to write off Day 1. I think [indiscernible] some increased amortization of intangibles going forward. And then, of course, banking intangibles and fees so forth going forward for our new facility as well.
Jonathan P. Braatz - Kansas City Capital Associates: How much will be the amortization fees?
Dana L. Perry: It's built into our guidance numbers for Aquilex. I don't have that number off the top of my head right now.
Operator: And our next question will come from a follow-up from John Franzreb of Sidoti.
John Franzreb - Sidoti & Company, LLC: Just to stick with the guidance somebody was just discussing, Dana, so if you back those numbers out, you're looking at roughly $0.15 more of fundamental earnings power. Is that right?
Dana L. Perry: For the acquisition?
John Franzreb - Sidoti & Company, LLC: Yes.
Dana L. Perry: Yes, that's correct, $0.15 to $0.20 is our 11 months guidance for this year.
John Franzreb - Sidoti & Company, LLC: Okay. The Aquilex, can you just give us a sense what the historical growth rates were for that business before you picked it up?
Dana L. Perry: The last couple of years, they were working their way through the coal-fired plants and some of the nuclear plants that they were doing some retrofits on. It's behind them now. They're kind of in a stabilized market and then we're looking for them to start ramping up going forward in some of the new markets they're participating in. So when we acquired them, they actually were coming off some down period.
John Franzreb - Sidoti & Company, LLC: And what -- I'm sorry, what's the opportunity of the pipeline for the business?
Dana L. Perry: Ashok, you want to hit that a little bit?
Ashok E. Kolady: Yes, they're on a late cycle business. So as we are in the business cycle, we see a ramp-up for their business later in the cycle, which we are starting to see. And the growth primarily is international and in the petrochemical market.
John Franzreb - Sidoti & Company, LLC: Okay. And is it fair to say, Dana, that after a couple of big purchases that your -- as far as M&A is concerned, you're logically would be in a, I don't know, a digested period right now? Is that a fair assumption or no?
Dana L. Perry: We'll continue looking for opportunities on the [indiscernible] side. We'll certainly handle those things from a financial and management perspective as well. You're not going to see us do another Aquilex next week, of course. I had a little time to digest that and get that under our belt. And of course, Ashok is going to be the major implementation officer of that project for the next few months as well. But we've [indiscernible] stopped our review and analyst -- analytic review of opportunities going forward, because you know very well, it takes a lot of time to put this together. So we got to continue the pipeline and keep it working to be prepared for the next opportunity.
John Franzreb - Sidoti & Company, LLC: Okay, fair enough. And one last question. What's the CapEx budget now looks like for the total company with the Aquilex purchase?
Dana L. Perry: Probably, it'll be in that $30 million, about [ph] the $40 million range, $40 million, $42 million. Yes.
Operator: And ladies and gentlemen, that will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Dana Perry for his closing remarks.
Dana L. Perry: I would like to thank each of you again for participating in our conference call today. We are very excited about the year coming at us. We've got a lot of opportunities internally, as well as externally, and look forward to visiting with you on our next conference call. Thank you very much.
Operator: Ladies and gentlemen, that will conclude today's conference call. We thank you for attending today's presentation. You may now disconnect your lines.